Operator: Greetings, and welcome to the Inotiv, Inc.'s Fourth Quarter and Full Year Fiscal 2022 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Devin Sullivan, Managing Director for The Equity Group. Thank you, Devin. You may begin.
Devin Sullivan: Thank you, Paul. Good afternoon, everyone, and thank you for joining us for Inotiv's fiscal 2022 fourth quarter and full year financial results call. Before we begin, I'd like to remind everyone that some of the statements that management will make on this call are considered forward-looking statements, including statements about the company's future operating and financial results and plans. Such statements are subject to risks and uncertainties that could cause actual performance or achievements to be materially different from those projected. Any such statements represent management's expectations as of today's date. You should not place undue reliance on these forward-looking statements and the company does not undertake any obligation to update or revise forward-looking statements whether as a result of new information, future events or otherwise. Please refer to the company's SEC filings for further guidance on this matter. Management will also discuss certain non-GAAP financial measures in an effort to provide additional information for investors. A definition of these non-GAAP measures and reconciliation to the most comparable GAAP measures are included in the company's earnings release, which will be posted on the Investors section of the company's website at inotivco.com and is also available in the Form 8-K filed with the Securities and Exchange Commission today. Joining us from the company this afternoon are Bob Leasure, President and Chief Executive Officer; Beth Taylor, Chief Financial Officer; and John Sagartz, the company's Chief Strategy Officer. Bob will begin with some opening remarks, after which Beth will present a summary of the company's financial results. Then, we will open the call for questions from our analysts. It is now my pleasure to turn the call over to Bob Leasure, President and CEO of Inotiv. Bob, please go ahead.
Bob Leasure: All right. Thank you, Devin, and good afternoon, everyone. We appreciate you taking time to join us today and appreciate your patience with respect to the delay in announcing of our results for the fourth quarter and full year. Following a very strong third quarter, total revenue for the fourth quarter of fiscal 2022 rose fivefold to $150.5 million from $30.1 million in last year's fourth quarter. For the full year 2022, revenues improved to $547.7 million from $89.6 million last year, with the increase across our DSA and RMS business segments reflecting approximately 31% organic growth plus the contribution from acquisitions. Adjusted EBITDA for fiscal Q4 improved to $18.3 million or 12.1% of total revenues from $4.3 million or 14.4% of total revenues in last year's fourth quarter. For the full year, adjusted EBITDA grew from -- grew to $90.5 million or 16.5% of total revenues from $9.3 million or 10.4% last year. This was a very solid year of continued growth and was reflective of our ongoing evolution into a comprehensive provider of non-clinical CRO services and research products to the global pharmaceutical and biotech industries. During 2022, we consummated several acquisitions that enhanced both our geographic footprint and portfolio of service offerings. We began the integration and optimization of our acquired operations and created a path to what we believe will be sustainable growth in sales and expansion of margins. We're pleased with the progress we made in fiscal year 2022 and have entered '23 with specific plans to continue to improve our overall business model while addressing what we estimate will be a temporary disruption in our NHP business, which I'll discuss in greater detail shortly. During the fourth quarter, we did experience unexpectedly higher operating costs related to company-wide recruiting and the validation of new DSA services, as well as certain non-recurring costs related to restructuring charges, legal fees for closures of facilities, and consolidation expenses to move operations from Dublin, Virginia to other facilities; we also began the preparation for moves from Haslett and Boyertown; we had acquisitions integration costs, including expenses from terminated M&A deals, which we will not close, and financing transactions and the discontinuation of a capital project. Let's move to a brief discussion of our DSA and RMS business segments. Overall, our DSA business had an exceptional year, generating revenue of $165.3 million, an 84.5% increase from 2021. Organic DSA revenue growth in 2022 was $49.6 million, representing incremental growth of approximately 66%, supported by $26.1 million of incremental revenue from strategic acquisitions. For 2023, we've already added new capabilities and capacity in Rockville, Maryland to conduct Good Laboratory Practices, or GLP, studies for in vitro, cytogenetics and bacterial mutation assays as components of the standard battery of genetic toxicology studies required to support first-in-human evaluations of novel therapeutics. We continue developing our suite of genetic toxicology services and look forward to seeing continued growth in Rockville as we also complete the facility buildout and launch our biotherapeutics business. We are completing other projects to build out the capacity and capabilities across our existing enterprises, specifically completing a project in Boulder, Colorado. This expansion was initiated in early fiscal 2022 and will be coming online during fiscal '23. We are expanding operations as well in Fort Collins, Colorado, but we'll be narrowing the plan which was scheduled for 2023. Once completed, these expansions will increase our DSA facility capacity by 30% and our DSA revenue capacity by an estimated $50 million. These expansions will also improve the overall quality and efficiency of our service offerings, while reducing our reliance on third-party outsourcing for certain services. We are reprioritizing some of our capital plans that we believe can generate quick returns and overall reducing our spend in fiscal '23. Conversely, we will delay our previously-announced expansion activities at our ILS facility in North Carolina, which we acquired in January 2022. The slowdown of our expansion does not impact our near-term growth prospects and we will evaluate these needs and investments in the future. Our RMS segment contributed $382.4 million of revenue in the year, reflecting strong incremental revenue well above the run rate when we entered the RMS market with our Envigo acquisition in November 2021. Organic revenue growth in 2022 was $91.3 million, representing incremental revenue growth of approximately 24%. This was our first year in the RMS business. We've had a chance to gain further knowledge of this business, have taken significant actions to improve the operations and enhance future margins through site optimization plans, enhanced pricing across the product portfolio and other significant operational changes. We have also made significant progress in our comprehensive site optimization master plan. In June, we announced the closure of two RMS facilities in Virginia. The closure of Cumberland, Virginia facility was completed by the end of fiscal 2022. Cumberland revenue was less than 1% of our total revenue and did not contribute to adjusted EBITDA. The operations at our Dublin facility in Virginia ceased in November of 2022, and the customers were transferred and are now being served from other locations. Since the closings, the Dublin property has been sold and the Cumberland facility is in the process of being sold. The previously-announced facility closures in Haslett, Michigan and Boyertown, Pennsylvania are now in process and should be completed by March of 2022 -- or March of 2023. We recently announced the closure of two facilities in Indianapolis. The activity of these Indianapolis facilities will be relocated to other existing facilities and should be completed by June of 2023. We also introduced the proposed consolidation plans of Gannat, France and Blackthorn, U.K. into existing facilities, which if approved, we hope to complete in 2023 and 2024, respectively. Now, I want to move to give a little bit more detail on our non-human primate business. As stated on our November 16, 2022 release, out of an abundance of caution, we have not initiated any shipments or imports of NHPs from Cambodia, although we do continue to sell and import NHPs from other countries. Cambodia is a critical supplier of NHPs to the U.S. In absence of imports from China, Cambodia represented over 60% of the NHP imports, according to CDC statistics. We continue to work with external and internal resources to review our current NHP inventory from Cambodia and we'll begin shipments of these NHPs only after such time that we can reasonably determine the NHPs in our possession are purpose-bred and not wild caught. While we are not currently aware of any outside constraints on importing NHPs from Cambodia, Inotiv will not import from Cambodia until we can complete satisfactory on-site audits of our suppliers. We are in communication with our Cambodian suppliers and we expect that we will be able to be on-site in Cambodia to complete these audits during this quarter. We do understand Cambodian officials have stated that they will be shipping NHPs. Even in a significantly-constrained market, we believe the DSA business will have -- our DSA business will have ample access to NHPs to meet our clients' needs. Having access to the supply, along with our desire and ability to have a positive impact on this industry, was a critical factor in the decision to purchase Envigo and Orient BioResource. We believe the current situation shows the need to implement changes within our industry, and we look forward to working with others in our industry and with the government to continue to lead changes to this industry. With respect to broader market conditions and commentary, during the fourth quarter 2022, an increased level of quoting activity translated into a higher backlog at year-end. As a reminder, when we report new awards, they are net of cancellations. Despite the growth in backlog, we also continued to experience a high level of cancellations, due primarily to molecules not being ready as expected for projects that were awarded 12 to 18 months ago and the abandoning of projects which were seen as risky. We have seen some market commentary that the industry is seeing a downturn in the biotech funding and spending. We have experienced a few occasions recently where this has been the case with our clients. We continue to monitor market conditions closely. The operational investments we made in 2022 in areas such as recruiting, internal processes, facilities, technology, personnel have been significant. We have allowed -- and it has allowed us to further integrate our acquisitions and begin to achieve synergies. We invested over $36.3 million in internal projects during 2022. We believe these investments will allow us to broaden our service offerings, improve margins, enhance our overall level of customer service and maintain a high level of animal welfare. Within our RMS business, specifically, the investments will allow us to implement our comprehensive site optimization plan, which currently includes closing nine of the 24 sites we acquired with the RMS business. In addition to the operational investments in 2022, we've also had an opportunity to review our cost and pricing. As a result, we have been able to amend customer contracts and pricing. Many of the pricing changes began to go into effect in January of 2023. These will help offset inflationary cost increases, which we experienced in 2022 and during Q1 of fiscal 2023. During the 12 months ended December 31, 2022, we hired approximately 860 people, which is over 35% of our current workforce. This was a significant investment and was needed to support our growth and improvements last year. We've seen our retention rate increase and we're able to successfully reduce our turnover rate. At present, critical operational leadership positions are all filled. Overall, in 2023, expect employment to stay consistent with our current levels, and we expect a growth -- to support our growth in 2023 from efficiency gains. As a result of market conditions and what we have been able to achieve over the last four years, in 2023, we expect to be less focused on acquisitions. As stated earlier, we have also delayed and reduced certain expansion activities we had previously announced related to our DSA business. We believe that this course of action is prudent given the current state of capital markets and our desire to focus on integrating and optimizing the businesses we acquired and have built over the past two years. We believe our strong organic growth for fiscal 2022 has exceeded the industry average of low double digit growth for Discovery Services and mid to high single digit growth for Safety Assessment, which speaks to our ability to increase market share. As per guidance for 2023, for fiscal year end -- year ending September 30, 2023, we are providing guidance of at least $580 million of revenue and at least $75 million of adjusted EBITDA. Due to the recent disruption of our NHP supply chain, the guidance of $580 million of revenue includes a range for Q1 fiscal 2023 revenue from $118 million to $122 million, and approximately $460 million of revenue during the nine-month period of Q2 through Q4 of 2023. The guidance of $75 million of adjusted EBITDA includes an expected negative adjusted EBITDA margin in Q1, and adjusted EBITDA margins of approximately 17% during Q2 through Q4. We will continue to focus on organic growth and market share gains with our expanding service offerings in the DSA business. With the strong backlog growth through 2022, we have good visibility on DSA revenue heading into 2023. We look for efficiency improvements to leverage our fixed cost structure on increasing sales to enhance DSA margin. Our RMS business will benefit from the price increases implemented in January of 2023 and the expected market share gains, while further margin expansion will be driven by our site optimization plans. We also continue to invest in enhancing our animal welfare programs. Our guidance does assume a reduction in the number of NHP sales from last year. Although we've experienced a short-term disruption, we are not aware of any importation ban from Cambodia and NHP sales could increase throughout the year from our guidance level if we are able to resume full importation levels. We hope to get further knowledge and comfort on 2023 importation levels based on additional supply audits that are expected to take place during this quarter. Even if the total volume of NHPs is lower than 2023 -- '22, we expect to benefit from price increases for NHPs, which could range between 65% to over 100% throughout this year in this highly supply-constrained environment. Although we were impacted by the NHP supply issue in Q1, we believe the business is well positioned to achieve above market revenue growth rates and expansion in margins. As stated previously, for 2023, we are focused on optimizing organic revenue growth and improving margins, and less focus on acquisition opportunities. We continue to guide long-term revenue growth of high single to low double digits and long-term EBITDA margins of 18% to 22%. With that, I'll turn it over to our Chief Financial Officer, Beth Taylor. Beth, please go ahead with the financial overview.
Beth Taylor: Thanks, Bob, and good afternoon. Total revenue for the fourth quarter of fiscal 2022 rose to $150.5 million from $30.1 million in last year's fourth quarter, driven primarily by significant incremental revenue from our RMS segment and higher revenue in our DSA segment. DSA segment revenues grew 46.8% in the fiscal 2022 fourth quarter to $44.2 million, up from $30.1 million in the fiscal 2021 fourth quarter, and that was driven by $2.1 million of incremental revenue from acquisitions over the same period last year and an incremental increase in revenue from internal growth of $12 million during the quarter. The fiscal 2022 fourth quarter revenue was lower than fiscal 2022 third quarter revenue due to higher benefits in the third quarter from cancellation fees and the fourth quarter revenue being impacted from less canines being available for studies. However, the canine shortage issue is improving and we expect to see the benefit of this starting in the second quarter of fiscal 2023. Our RMS segment revenue in the fiscal 2022 fourth quarter was $106.3 million. We did not have any revenue for our RMS segment in the last year's fourth quarter. RMS segment revenue was lower in fiscal 2022 fourth quarter compared to the 2022 third quarter due to shipping less units of NHPs during the quarter. Our total gross profit increased to $42.2 million or 28% of revenue, up from total gross profit of $10.3 million or 34.2% of revenue in last year's fourth quarter. Gross profit for our DSA segment improved to $13 million or 29.4% of segment revenue from $10.3 million or 34.2% of segment revenue in last year's fourth quarter. The percentage decline in gross profit was primarily driven by laboratory capacity investments and cost associated with the recruitment of additional scientists to support new capacities and services. The work currently being conducted includes development of assays, validation of equipment, and establishment of good laboratory practices that will be coming up during the last half of fiscal 2023. RMS segment gross profit in the fourth quarter of fiscal 2022 was $29.2 million or 27.5% of RMS revenue. RMS gross profit in the fourth quarter included approximately $200,000 of non-cash inventory step-up amortization, which negatively impacted gross profit percentage by approximately 0.8%. We did not have any RMS gross profit in last year's fourth quarter. Our operating loss for the fourth quarter was $242.5 million, reflecting an increase in operating expenses to $271 million from $13.7 million in last year's fourth quarter. As we noted in our press release, higher operating expenses were driven primarily by a non-cash goodwill impairment charge of $236 million related to our RMS segment. And as part of our impairment assessment, we determined that the carrying amount of goodwill attributed to our RMS segment was in excess of its fair value, primarily driven by the sustained decrease in our share price as compared to our share price at the time of the Envigo acquisition. The remaining increase in operating expenses reflected restructuring charges and legal fees related to the previously-announced closures of our facilities in Cumberland and Dublin, Virginia, acquisition and integration costs, which included M&A due diligence for opportunities we explore during the quarter, a one-time charge for the write-off of deferred legal and accounting fees for our S-1 registration statement that was withdrawn and a non-cash charge for amortization of inventory step-up. Adjusted corporate unallocated G&A totaled $14.5 million or 9.6% of revenue in the fourth quarter of fiscal 2022 compared to $3.2 million or 10.5% of revenue in the fourth quarter of fiscal 2021. The 900 basis point decrease was due to the advantage of scale as revenue has gone up. We continue to maintain a long-term objective for adjusted unallocated corporate G&A to be between 6% to 8% of revenue. Interest expense increased to $8.9 million from $0.5 million in last year's fourth quarter, reflecting our higher debt balance for borrowings obtained for the acquisitions and an increase in interest rates. Consolidated net loss attributable to common shareholders in the fourth quarter of fiscal 2022 totaled $244.2 million or a negative $9.54 per share, and included the $236 million non-cash impairment charge for the RMS segment. This compared to consolidated net income attributable to common shareholders of $9.4 million or $0.59 per basic share and $0.06 per diluted share in the fourth quarter of 2021. Adjusted EBITDA increased to $18.3 million or 12.1% of total revenue from $4.3 million or 14.4% of total revenue in Q4 fiscal 2021. Our book-to-bill ratio for our DSA segment in the fourth quarter of fiscal 2022 was 1.03x, down from 1.19x in the immediately preceding third quarter of fiscal 2022. For the year, our book-to-bill was 1.33x. In the fourth quarter of fiscal 2022, we experienced another record quarter of post-issued. However, the sequential quarterly decline in the book-to-bill was a result of an increase in project cancellations, as Bob referenced earlier, which was higher than what we saw in Q3 of fiscal 2022. As Bob noted, the majority of the cancellations reflected the unavailability of molecules for projects that had been booked up to a year-and-a-half in advance and clients abandoning projects which are seen as risky, and more recently a number of projects being put on hold due to lack of funding or pending -- or pending funding. DSA backlog improved to $147.2 million at September 30, 2022, up from $143.2 million at June 30, 2022, and that was compared to $81.4 million at September 30, 2021. Net cash used in operations for the 2022 fiscal year was $5.2 million compared to cash provided by operations of $10.7 million last year. The use of cash during the year reflected our increase in net working capital for our NHP business due to the timing between deposits made to our suppliers and when the shipments are received and then when the cash is collected from our customers. CapEx in the fourth quarter totaled $5 million or 3.3% of revenue, with total 2022 CapEx totaling $36.2 million or 6.6% of revenue. CapEx for the year reflected investments in facility improvements, site expansions, enhancements to laboratory technology and system enhancements to improve the client experience. We expect our fiscal 2023 CapEx to be approximately 3% to 4% of projected revenue, which we believe will be less than $25 million. The CapEx investments will focus on completions of DSA capacity expansions in Boulder and Rockville, and initiation of an expansion project in Fort Collins, completion of RMS deferred maintenance projects, and continued animal welfare enhancement projects. Our balance sheet as of September 30, 2022 included $18.5 million in cash and cash equivalents and $15 million balance on a $15 million revolving credit facility and a $0 balance on a $35 million delayed draw term loan. In October, we drew down the entirety of the $35 million delayed draw term loan and a portion of the proceeds were used to repay the $15 million balance on the revolving credit facility. Total debt, net of debt issuance cost, as of September 30, 2022 was $353.7 million, including the balance on the revolving credit facility. We were in compliance with our debt covenants as of September 30, 2022. We currently have $15 million of availability on our revolving credit facility. And based on our financial guidance, we anticipate that we will be in compliance with our financial covenants for fiscal 2023. While 2022 did present some challenges, we made significant progress to improve our services, build capacity, integrate and optimize our acquired operations and implement plans to enhance margins. We remain pleased with our financial performance and the foundation that we have built to continue to grow and capture a significant portion of the opportunities in our market. And with that overview of the financials, I will turn the call back over to Bob.
Bob Leasure: All right. In closing, I'd like to take a moment to thank our 2,200-plus employees who work tirelessly every day to provide unique Inotiv experience for all of our customers. The reason -- they are the reason our customers want to grow with us and I truly appreciate all they do. This concludes our prepared remarks. And with that, operator, please open the call for questions.
Operator: Thank you. [Operator Instructions] Thank you. Our first question is from Frank Takkinen with Lake Street Capital Markets. Please proceed with your question.
Frank Takkinen: Hey, thanks for taking my questions. I wanted to start with a couple on the NHP dynamic. First clarifying question. I think I heard you correctly, Bob, that you stated Cambodia is still exporting NHPs. But if I understand correctly, you guys have elected kind of interesting conservatism to not take importation from Cambodia. The first clarifying there. And then, two, kind of walk through the process of the audit that you plan to go through with your on-site visit? And how would it look in Q2 and forward as you can return to shipping NHP, how quickly that can occur again?
Bob Leasure: Well, okay, first, let's -- hi, Frank. I think as far as Cambodia, the Cambodia government officials have said that they will be exporting. So, I'll leave it at that. As far as our -- this is our internal decision that we will not bring in imports until we have had a chance to be on site to audit the facilities in Cambodia. This is something that's really not been allowed since COVID. I think the last time people on-site were in January of 2020. Of course, we did not own the business back then. But due to COVID, nobody's been allowed on-site. We've recently been notified that we will be allowed on-site, and we're looking forward to people going over there shortly in order to be able to audit those facilities. So, we'll wait and see how those audit turnout before we make the decisions to import, but that will be the next critical path. As far as what the audit will tell, no, we will not talk about what audits we're doing internally or externally with the NHPs at this point.
Frank Takkinen: Okay. That's helpful. And then, maybe on the cancellation theme, it sounds like you're not alone in that dynamic, but maybe just kind of think -- speak to how you're thinking about the cancellation trend as you move into 2023? And what you kind of baked into your guidance on that front in the DSA business?
Bob Leasure: Did you say the cancellation?
Frank Takkinen: Yes. You stated higher cancellations than average. How are you thinking about cancellations and what's baked into guidance…
Bob Leasure: The DSA business?
Frank Takkinen: Yes, DSA business, correct.
Bob Leasure: Yes, I know. I think that's definitely a headwind that we face. We have seen and we're going to have to continue to see our quoting increase to overcome the cancellations that are out there. It's something that we started preparing for probably nine months ago as we saw this and it's turned out to be true. We've been increasing our sales and marketing efforts and budgets, while we've also been adding additional salespeople. So, I expect that we continue that strategy and continue investing our sales and marketing dollars, and how we can be more intelligent with how we're investing and how we're selling. But that's something we'll do hopefully daily in order to get smarter and better to get more shots on goal, if you will, and more opportunities, and then what can we do to be more effective in closing.
Frank Takkinen: Okay, great. And then, maybe one last one for me, a bigger picture question. Prior to all the NHP disruption, the big picture growth commentary and business model profile was a high single, low double digit, in aggregate, with DSA outpacing that and eventually reaching 18% to 22% EBITDA margin profile. But once we cross over some of these NHP disturbances, has your thought process around that business model, that business profile changed at all? Or do you feel it's still fully achievable once we reach a time of more predictable NHP supply?
Bob Leasure: I think it is fully achievable. I think that we -- as we indicated that -- I think that the first quarter -- the fourth quarter and the first quarter, we had some inflationary pressures on our business, specifically our RMS business. But I think with the price increases that we implemented this January and the price increases we implemented with the NHP business -- remember, we still do sell NHPs. They're not all from Cambodia. And along with the new services that we're adding and I think the site consolidations that we're doing, I think we -- those -- still optimistic those are very achievable targets.
Frank Takkinen: Great. Okay. I'll stop there. Thanks for taking the questions.
Bob Leasure: Thanks, Frank.
Operator: Thank you. Our next question is from Matt Hewitt with Craig-Hallum. Please proceed with your question.
Matt Hewitt: Good afternoon. Thanks for taking the questions. Maybe first up on the flip side of the cancellations, are you seeing a more normalization in the bookings, meaning you're not getting customers coming in a year or 18 months early to book? As you built out capacity, are you feeling like you're getting back to a more normalized bookings timeline?
Bob Leasure: Matt, I think there may be a little bit of that, but I would tell you that we do have some projects that are booked out into 2024 already. So, as I look at our 2023 backlog for the rest of this year, we probably have 65% of our business already in the backlog, which is I think probably more normal. And I think that we are booking things into 2024. And I think as people get more concerned again about access to NHPs -- because if the trend continues, there will be less available this year. I think that will have people booking further out again.
Matt Hewitt: Got it. And then, I guess, on the NHP side, how much of a headwind to EBITDA margins does that represent over the near-term while you're basically holding those the Cambodian NHPs until you determine whether or not it's safe to give those to your customers? What kind of a margin hit does that represent? And how much of a benefit it will be when you're able to finally kind of get those out the door?
Bob Leasure: Well, when and if we get them out the door, when we do, it will be a positive. But in the meantime, we're still selling NHPs, and margins will remain very good with the ones we have, because the demand is very high, and there are fewer available. But I can tell you with the pivot that we did -- and you can tell we pivoted the business a little bit in the last three months since we probably talked. And we're less focused on acquisitions. We don't need to go out and hire 860 people. More focused on efficiencies, a little less capital expenditures. Basically, that's allowed us to look at our expenses in our workforce. We did have a small reduction in workforce take place in December. We are reducing some expenses, the hiring and recruiting expenses. We're starting to see synergies still that we had not gotten to before. And we're starting to see some of the benefits for the site optimization plans. So, I'm pretty optimistic that we have made some significant changes in the business that have not been seen yet by our results and not been seen in market, because of the changes that we have -- that we had started a year ago with the site consolidation plans. But we're now starting to finish -- and then some of the investments that we needed to make initially, there's a lot of travel, for example, in introducing the sites to one another. Our IT programs, at one point, I think, given the examples, we had 220 software programs. We consolidated down to 120. There are many examples like that where we get synergies and those take a year to run off. So, as we start to see those things take place and come to fruition -- and again hiring and recruiting 860 is not a -- 35% of the workforce is -- this is pretty substantial feat for any company if you're growing that fast. And so, I think those sort of things that we're going to be much more efficient about next year and why we're going to see some improved margins, not just -- it's just not about how many NHPs can we sell.
Matt Hewitt: Got it. And then, maybe one last one and it touches on that a little bit as far as the site optimization. You have been building out some capacity, particularly in some newer markets. How quickly -- I mean, what does the pipeline for those services look like? How quickly do you think you can ramp up on the sales side to kind of offset some of the upfront costs that you've borne getting those services ready to go?
Bob Leasure: Well, that's a good question. And I would like it to be a lot faster than that it is, but I'm probably -- I'm not very realistic. So -- but I would tell you, in Rockville, we've only brought it probably 25% -- probably 20% right now. The capacity is available in what we've built in Rockville. But what I've seen grow over the last three months during the quarter we just finished in December 31, very optimistic about the level of quoting activity, the backlog we built, and how we're ramping up those revenues. Now, again, it's only 20% of the facility and the capabilities available. But seeing that ramp up has been very encouraging. But I don't think -- that's something that I think that facility should eventually do $25 million to $30 million. That's not going to happen overnight. That will take a couple of years to build that up, I believe two or three years realistically. But I'm very pleased with what I've seen to date in the first 90 days that was open. And as we bring -- we'll bring on more capacity by March and, again, by June, and so far, the response to what we're building is very positive. And that doesn't only impact just Rockville, but some of the things we're doing in Rockville impacts our other facilities, because it's -- when we acquire company, remember, we pick up those sales and benefits from many other locations. And we're already seeing what we're picking up in Rockville benefiting other locations that we have. So, I'll remain optimistic at this point and I think that will be good investment for us.
Operator: Thank you. Our next question is from Dave Windley with Jefferies. Please proceed with your question.
Dave Windley: Hi, thanks. Can you hear me okay, Bob?
Bob Leasure: Hi, David. Yes.
Dave Windley: Okay. Hi, good afternoon. Thanks for taking my question. My first question is what percentage of 2022 -- fiscal 2022 revenue was represented by your NHPs, and maybe more specifically the Cambodia NHPs?
Bob Leasure: David, I think in our last press release in November, I believe we indicated that maybe the Cambodian NHPs were $140 million of our revenue. Now, it's not top of my head, but I believe that's what we said in the November. Beth, is that correct? Beth, are you on the phone?
Beth Taylor: Yes, that's correct. It's about -- yes, 25.5%.
Dave Windley: Okay. And that takes you through the end of the fiscal year? That was kind of for the full year?
Beth Taylor: Yes, that was fiscal '22.
Dave Windley: Okay. And then, as I think about your guidance and the progression, you, obviously, are guiding toward a lower level of activity in the first quarter. As we sit here today, I mean, you may not have the books closed, but the first quarter is done. What drives the sequential improvement -- what's the difference between the factors impacting 1Q versus what you're going to get in 2Q and beyond? And maybe you could provide a little more detail as to whether 2Q, 3Q, 4Q looks similar, or do you expect a kind of a progression -- an improving progression through the balance of the year?
Bob Leasure: You're breaking up through some of that call, David. So, I think you're asking if -- where we're going to see Q2 versus Q1, where would some of the sales increases come from?
Dave Windley: Yes. I apologize if I'm breaking up. So, just trying to get at the differences in 1Q, which is already now done versus your step-up in both revenue and profit margin 2Q and beyond.
Bob Leasure: Yes. I think that we will see some benefits from price increases. So, the price increases in the NHP business are going to be somewhere around 65% to over 100%, depending on where they came from. And those didn't go in effect until January. So, I think those will be substantial, because we are still selling NHPs. In addition, I think, we'll start seeing some of the additional services come on board from the DSA business. And then, the price increases we took on the RMS business range and the other models other than NHPs were somewhere between 5% and 25%. So, I think we will see some increase in sales from those. Between now and the end of the year, I do expect that we will see increasing sales from NHPs.
Dave Windley: Okay. So, then maybe my question on DSA would be, in terms of the cadence of impact, you said you're still putting out record levels of quotes, but those are being dampened or diluted by cancellations. And normally, cancellations have a nearer-term impact and the quotes have maybe an out-quarter impact. Is that the right way to think about the new business -- the net new business that is coming in?
Bob Leasure: It is. It puts additional pressure on the short-term operation to be flexible to move things around as things open up, or to go back out to the market and see if somebody else has a need for the capacity that just opened up. And -- so, it does require a little bit more flexibility in how we handle the operations.
Dave Windley: Okay. Then my last question on the debt front. You described a number of -- you and Beth, both, the movements in your delayed draw on your revolver and the covenants or the limitations disclosed in the press release tonight. From a practical standpoint, do you see those limitations through March of '24 as preventing you from doing what you want to do in the business?
Bob Leasure: No, I don't. Those -- the changes we -- the pivots we made in the business were done before those amendments just came in place obviously in the last week or two. And I don't -- and I think with the relationship we have with our senior lenders, I believe that if we felt a need to change again for an opportunity that we have the kind of relationship that they would be open to listening to and we could work through those things. But at this point, for us, I think we have a lot we can do to become much more efficient and get to the synergies and finish the site optimization plans that are going to enhance our margins, and that's why I'd like to make sure we're doing in the short term. If we get through all those sooner than later and opportunities come up, we'll get -- we can go back and talk to them, but right now that is not our [indiscernible].
Dave Windley: Okay. Thanks, Bob. I appreciate the answers.
Operator: Thank you. There are no further questions at this time. I'd like to turn the call back to Bob Leasure for any closing remarks.
Bob Leasure: No, again, I'd just like to thank everybody. We had the opportunities to look internally to figure out what we can do smarter and better. This had us refocus and ask a lot of questions about our business and what we should do different. And that was a great opportunity for us to pivot. And I think that, as a result, we'll be a much better company for this and much better position in the future. So, again, I want to thank all the people that worked with us over the last six or eight weeks. I apologize for the delay, but we'll look forward to moving forward into 2023 and what we can deliver. So, thank you very much.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.